Operator: Greetings and welcome to the ECD Auto Design Fourth Quarter 2024 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Quinn Callanan, Investor Relations. Quinn, please go ahead.
Quinn Callanan: Thank you, operator, and good afternoon, everyone. Welcome to the ECD Auto Design fourth quarter and full year 2024 earnings webcast and conference call. Today's date is April 16, 2025, and on the call today from ECD Auto Design are Scott Wallace, Co-Founder, Chief Executive Officer and Chairman; and Ben Piggott, Chief Financial Officer. Before we begin, I'd like to remind everyone that this call may contain forward-looking statements as they are defined under the Private Securities Litigation Reform Act of 1995. These statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. For a discussion of such risks and uncertainties, please see ECD Auto Design's most recent filings with the SEC. All forward-looking statements made today reflect our current expectations only, and we undertake no obligation to update any statement to reflect the events that occur after this call. Also during the course of today's call, the company will be discussing one or more non-GAAP financial measures. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures are included in the press release we issued yesterday afternoon. Copies of today's press release are acceptable on ECDA's investor website, ecdautodesign.com. In addition, ECDA's Form 10-K and 10-Qs are also available on ECDA's Investor Relations website. Now I'd like to turn the call over to Founder and Chief Executive Officer, Scott Wallace. Scott?
Scott Wallace: Thanks, Quinn. First, I'd like to thank our shareholders and their interest in the ECD Automotive Design for joining the call. I'm certain Ben will echo this. But it has been a heavy lift to get our filing up to date after the reaudit of our 2022, 2023, and first half 2024, due to the shutdown of our prior auditor, BF Borgers, our regulators. I'm happy to be able to share some of the exciting things happening at ECD. This is our second go around holding a public conference call as a company. For those new to ECD Automotive Design story, we create and restore luxury vehicles that combine classic beauty with modern performance. We operate 2 facilities, a manufacturing plant in Kissimmee, Florida, which we call the Rover Dome, and the logistics and fulfillment center in the U.K. that we use primarily to source original plastic automotive bodies. We manufacture classic, custom classic Land Rover Defenders, Range Rovers, Jaguar E-Types, Ford Mustang and Toyota FJs as restored models. Our one-of-the-kind builds carry an average selling price of between $300,000 and $400,000. Before we delve into particulars of last year, I want to address something that is at the top of many people's minds. Tariffs and their impact on businesses, particularly manufacturers are prominent concerns for investors in today's environment, providing confidence to investors is difficult as there are constant moving parts when discussing government actions. What you say today can be proven wrong tomorrow. Despite ECD's British roots, we are an American automotive manufacturer, restoring classic cars, whose import not being considered as of this date. We have spent a significant amount of time studying the tariffs issued or being considered and have constructed an internal plan to offset the margin impacts of a whole array of potential government actions. We believe this approach will minimize the impact tariffs might have on both customers and investors. Looking back, 2024 was a transformational year for ECD. We grew revenue roughly by 29% to $25.2 million and increased gross profit higher by 30%. Both dollar amounts are records for ECD at this time and are a testament to our improvements we've made to our customer journey while designing a new ECD vehicle. When customers decide they want an ECD vehicle, our team leads them on an engaging, immersive 3D, pressure-free luxury design experience where any modification is within reach. Our clients are not cash staffed. They are option, time and inspiration staffed. Through our customer onboarding process, we seek to satiate that hunger for inspiration and options and allow our customers to bring their imaginations to life. Our commitment to continually enhancing this customer journey, combined with our endless pursuit of new customization innovations has allowed us to grow revenue and margins. The power of this approach is apparent as we have now begun fielding orders for vehicles beyond $500,000, where our average vehicle price sells in the $300,000 to $400,000 range. During the year, we were able to add our backlog and consolidate the custom Defender space through our licensing agreements with Black Bridge Motors. We added vehicle models, including Classic Toyota FJs and Classic Ford Mustangs with our Black Dog Traders and Brand New Muscle Car licensing agreements. These additions were made in a capital-light manner, highlighting the roll-up opportunity the classic car ecosystem provides to fill our factory, optimize our fixed assets, and provide a platform to build an umbrella luxury brand akin to LVMH in the luxury car space. Beyond business improvements, we continue to improve our manufacturing processes. For example, we moved our quality control team from the end of the line to within the line itself. This change ensures build quality at each individual stage enables the right first-time completion model, while allowing us to continue expanding our product offerings and increasing output. As we continue to iterate our process, we find we pick up dollars along the way, increasing revenue margin and customer satisfaction through improved build quality. In October of 2024, we announced our intent to launch our retail strategy and criteria for selecting retail locations. Our retail strategy is the most exciting development at ECD for me. Until recently, ECD sales presence was limited to exclusively online sales. The launch of our retail strategy is our first foray beyond web-based sales. Our physical presence in communities allows us to bring our immersive luxury presence where our customers reside, allowing a more in-depth and personal engagement. Our retail locations also serve as hubs for community engagement. Establishing a retail presence eliminates the need and cost of supporting a mobile outreach team towing vehicles from place to place. This benefit is evident in this quarter's reduction of advertising marketing spend, driving returns higher. At our stores, the car is the hero and where we've established ourselves, we have lined up an extensive calendar of events where potential customers will see and feel the quality and customization of our products. Our first retail location store within a store in West Palm Beach, Florida opened in the first quarter of 2025 and has exceeded our expectations thus far. Our second location opened earlier this month in Nantucket. We will continue to open new retail locations throughout the year following a similar capital-light approach as Nantucket and West Palm, and we look forward to discussing each one in future calls. As we did our due diligence on a retail strategy, we found a potential gap in our approach. Several customers didn't want to wait a year before running an ECD vehicle. Some were so intrigued by the custom ECDs aesthetic that they were willing to pay an asking price without customizing it to their taste. The customer -- this customer that caused us to begin limited production of our built-to-own vehicles. These custom ECD vehicles feature all the luxurious details included in our custom series that are designed by our team of specialists to stand out as a unique one of a kind on the road and available to purchase on the spot. 2 vehicle sales per month per location financially justifies each location and early returns indicate we will outperform this very low bar. Looking at 2025 and 2024 reporting behind us, we see opportunities all around us as we build our retail presence judiciously. I'm pleased to be able to focus our efforts on growth again. We believe our retail strategy is the quickest route to that growth. Our plan, as we've relayed in the past is to open an initial 4 locations in the wealthiest and most influential areas of the country. 2 vehicles sold per month per location results in 96 vehicle sales. Adding that kind of sales power to our current online channel leaves us firmly on the path to filling our factory. With that, I'll pass the call to Ben to review our financial results. Ben?
Benjamin Piggott: Thanks, Scott, and good morning, everyone. I'll begin with an overview of the quarter prior to discussing the full year financial results. Revenue during the fourth quarter was $5.3 million, up from $4.8 million in the prior year. The increase in revenue year-over-year was a combination of increased volume of sales, average sales price driven by higher customization and increased used vehicle sales. Sales for the quarter were impacted by a delay in vehicle title transfers. Our revenue recognition process dictates that revenue will be recognized when a client countersigns the title. At year-end of December '24, 12 vehicles were completed and fully paid for, but the holidays delayed many from taking ownership prior to year-end. These vehicles are accrued for under our deferred revenue in the current period and will be recognized over the course of the first half of 2025. Gross profit during the quarter was $300,000 compared to $1.2 million in the prior year. The primary driver of the reduction in gross profit has to do with a noncash $1.1 million write-down of labor overhead allocation and raw materials charged to cost of goods sold. We expect our gross margins to revert back to historical levels as we move into 2025. Advertising and marketing expenses were $286,000 compared to $335,000 in the prior year ago quarter. The change in expense during the quarter was primarily due to reduced in-person marketing activity as the company looks to optimize marketing spend. General and administrative expenses were $2.4 million compared to $1.6 million in the prior year ago quarter. The change in expense during the quarter was due to growth of our operations, public company costs, and onetime costs of $200,000 associated with the restatement of our 2022, 2023, and first half 2024 financial statements. Income from operations was negative during the quarter, a loss of $2.4 million compared to a loss of $900,000 in the year ago quarter. Net loss for the quarter was $3.3 million or $0.11 per diluted share compared to a loss of $700,000 or $0.03 per diluted share a year ago. For the year, we reported revenues of $25.2 million compared to $19.5 million in 2023, representing an increase of 29%. The increase was primarily due to increased unit sales, higher average selling price per vehicle by $25,000 per unit, and increased sales of used vehicles. Gross profit increased 30% during the quarter to $5.9 million compared to $4.5 million in the year ago 2023. 2024 gross profit margin was 23.4%. Advertising and marketing expense was $1.2 million compared to $640,000 in the prior year. This change in expense was primarily driven by increased volume of advertising in printing as the company increased its advertising promotions and social media presence in response to higher online traffic as well as an increase in the price of web advertising compared to 2023. General and administrative expense was $9.1 million compared to $5.1 million in the prior year quarter. The change in expense was primarily due to growth of our operations being a public company and onetime cost of $700,000 associated with the restatement of 2022, 2023, and the first half of 2024. Income from operations was negative during 2024, a loss of $4.6 million compared to a loss of $1.5 million in the year 2023. Net loss for the year was $10.8 million or $0.32 per diluted share compared to a loss of $1.2 million or $0.05 per diluted share in the year ago period. Now turning to the balance sheet. Our cash balance as of December 31 was $1.5 million compared to $8.1 million as of December 31, '23. Our primary source of funds are customer deposits, the collection of deferred revenue, and the sale of cars built for our retail locations. Looking into 2025, we believe that we'll be able to maintain production and sales of vehicles at our current cash levels with an increased emphasis on turning the inventory we've invested into cash. Capital allocation priorities remain on parts and mechanics, including occasional opportunistic capital-light acquisitions when opportunities present themselves. I'll now pass the call back to Scott for closing remarks. Scott?
Scott Wallace: Thanks, Ben. ECD Auto Design is a labor of love for those of you involved with this company. We believe the classic car ecosystem represents a uniquely attractive opportunity for our customers and investors. I'm happy to finally be able to share our story with the broader public and look forward to the future updates. You can also stay current on ECD by visiting us at our website, ecdautoddesign.com. Thank you so much for your time today. We will now open up the call to questions. Operator?
Operator: [Operator Instructions] Our first question today is coming from Theodore O'Neill from Litchfield Hills Research.
Theodore O'Neill : Ben, a question for you. On the -- looking at the P&L, you've got, if I'm reading this right, $1.1 million in nonrecurring charge in cost of goods sold and $2 million of cost for restatement in SG&A. Does that mean that any kind of reasonable growth in top line you should be able to get to in income from operations in 2025?
Benjamin Piggott: Yes. Theo, thanks for the question. The kind of crossover point for cash flow positive for the business is when we're doing about 10 units per month. Right now, we're doing about 8.5 units per month. And so given the backlog that we have and the launching of the retail sites, Palm Beach already being open and the Nantucket coming on during the summer. We think that we hit that kind of crossover point to 10 units per month in the next few months, which would then push the business into a position where it's generating operating cash flow.
Theodore O'Neill : And you got 12 vehicles that were pushed from Q4 into Q1, so that ought to help too, right?
Benjamin Piggott: That definitively gives a cushion into the first half of the year, correct.
Theodore O'Neill : And Scott, can you talk about the sort of how you look at the split between web-based sales versus the retail locations, and how you see that going forward?
Scott Wallace: Yes. Good question because we're analyzing that daily as well, Theo. So it's about to become a significant shift for us in terms of how we market and then how we generate leads. What we can't predict is the behavior of the consumer in the retail locations right now because they have a number of choices. One, is they order a new truck and send the order back to the factory. Two, is that they take the vehicle home, the inventory that we built and buy it then as seen like you would in a traditional luxury car dealership. And three is they kind of tap into our used available inventory. So we're in the early days. But right now, it's contributing about 20% of our leads and sales. So what that's allowing us to do, as Ben indicated in some of the comments he made is pull back from traditional marketing spending on what we did last year with outreach activity, which is an expensive way of kind of moving vehicles and people around the country to show it. So it's changing our marketing strategy and reducing some of the costs there. And currently, the mix is about 80% is where it was 100% before from digital channels, 80% is digital channel -- 80% is digital channels now and 20% is from the retail stores.
Theodore O'Neill : And Scott, I know the tariffs are a complete moving target, but if you could talk in general terms about what you can do to mitigate some of that?
Scott Wallace: Yes. We -- tariffs for us is, like everybody else, is a moving piece, and we're kind of watching it daily. But we took a very early call on that internally. We made a commitment that we weren't going to increase our base contract prices for clients. So we stuck by that, and we're still standing by that. But we have made some adjustments to our upgrade pricing to offset some of it. But we're being fair in that. Like we're only -- we're tracking where it's impacting us, and that's a difficult challenge in itself. But the base vehicles that we import are not subject to the test because they're classic vehicles. And then a lot of our parts come from all over the world. So there's varying impacts on it. But we've put internal controls in place to make sure that the customer isn't impacted as much as they could be, the business is protected and therefore, investors as well.
Theodore O'Neill : Yes. I didn't realize that because it's a classic vehicle, it's exempt from tariff?
Scott Wallace: Yes, exactly. It's a 25-year-old rule. So it's -- the tariff currently sits on new automotive being imported.
Operator: Thank you. We reached the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments. At this point, it does conclude today's teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.